Operator: Good day, everyone. And welcome to today's Kimberly-Clark de Mexico’s 4Q24 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, you will have the opportunity to ask questions during the question-and-answer session [Operator Instructions]. Please note this call is being recorded and I will be standing by if you should need any assistance. It is now my pleasure to turn the conference over to Mr. Pablo González.
Pablo González: Thank you, Shelby. Hello, everyone. Thanks for participating on the call. We hope that your year is off to a great start and our very best wishes for you and your families in 2025. This time around, we'll go straight to results, and then I'll make some brief comments about our expectations going forward. Xavier?
Xavier Cortés: Thanks. Good morning. During the quarter, we were able to deliver strong margins in spite of the significant FX impact and cost pressures. Our sales were MXN 13.8 billion, a 3% increase versus the fourth quarter of 2023. Total volume was up 0.5% and price mix was also up 2.5%. Net sales were boosted by Consumer Products and Exports, which grew 3.1% and 7.1% respectively. Year-over-year, Consumer Products volume grew 2.4% and price mix was up 0.7%. Export volume was down 15.1% while price mix was up 22.2%. Sequentially, sales were up 4.7% with Consumer Products increasing 7.8%, mainly volume driven, and Away from Home 5.9%. In the quarter, cost of goods sold increased 5.8%. Against last year, SAM was favorable while virgin fibers, resins, and fluff compared negatively. Energy was down. The FX was higher, averaging 14% more. Our cost reduction program once again had very good results and yielded approximately MXN 500 million of savings in the quarter. These savings are mainly at the cost of goods sold level and are generated by sourcing materials improvements and process efficiencies. Gross profit decreased 1.1% and margin was 39.1% for the quarter. During the quarter, we took a one-time charge related to our footprint improvement process as we closed one manufacturing facility, relocating equipments to generate efficiency. SG&A expenses were 7.5% higher year-over-year, and as a percentage of sales were up 80 basis points. Excluding the one-time charge, operating expenses grew 3%. Operating profit decreased 7.3%, and the operating margin was 21.4%. We generated MXN 3.5 billion of EBITDA, a 5.6% decrease. EBITDA margin was 25.4%, a 90 basis point sequential decrease, and a 230 basis points reduction versus the fourth quarter of 2023, while FX was 6% higher sequentially, and as mentioned, 14% more versus last year. Excluding the one-time charge, EBITDA was down 3.7% and the margin was 25.9%. Cost of financing was MXN 350 million in the fourth quarter compared to MXN 333 million in the same period last year. During the quarter, we had an MXN 18 million FX gain versus a MXN 26 million loss last year. Net income for the quarter was MXN 1.8 billion with earnings per share of MXN 0.59, a 6% decrease. For the whole year, our sales were MXN 54.8 billion, a 2.8% increase and an all-time record. EBITDA was MXN 14.9 billion, also an all-time record, and was 27.2% of sales. Our margin increased 110 basis points versus last year. Net income, an all-time record as well, was MXN 7.8 billion and represented 14.3% of sales. We had very important savings from the cost reduction program amounting to MXN 1.7 billion. Some examples of projects that generated savings in the year are, modifications to a non-woven machine to be able to produce equivalent fabrics using less materials, as well as the addition of fiber treatment equipment to increase our ability to substitute pulp and fibers with cheaper alternatives. During the year, we invested MXN 2.5 billion in CapEx in line with our program as we focused towards technology improvements cost reductions and efficiencies, as well as capacity additions. Debt repayment was MXN 3.3 billion pesos, and we purchased close to 32 million shares, 1% of shares outstanding. We maintain a very strong and healthy balance sheet. Our total cash position at the end of the year was MXN 15.6 billion. Our net debt-to-EBITDA ratio was 0.8 times, with an EBITDA-to-net interest coverage of 12 times. Just a final comment before turning the mic back to Pablo, as you know, we usually don't hedge the peso as the carrying is very expensive. This time, however, we locked in the FX for approximately half of our dollar purchases for the first six months at around MXN 20.7 in view of the volatility that could arise. Thank you.
Pablo González: Thanks, Xavier. So overall, we had another good year, another record year, particularly in profit and margins, supported by a very strong first half and a more difficult but still positive second half. All in all, we achieved what we set out to do. As we get into 2025, I don't need to tell you that we face an uncertain and challenging economic context. The growth trajectory and the exchange rate will be important drivers of our actions. Current economic indicators point to a slowing economy and private consumption. So it's critical that we accelerate our innovations, increase the investment behind our brands, take advantage of the significant growth opportunities we've identified, and efficiently execute our commercial programs. We are clear on what we need to do and totally focused on execution. With respect to costs, at present, the exchange rate is roughly 20% higher than last year, and will be a headwind, particularly for the first half. We expect lower dollar-denominated prices for most raw materials, except softwood pulp which will be helpful. In addition, we will carry out selective price increases and are confident we'll achieve record savings for the year. Let me briefly talk about these two action items. When it comes to prices, during the quarter we will increase prices in various categories and channels and it should be fully reflected by the second quarter. It will not be across the board, but rather based on the consumer and competitive landscape and supported by your data analytics capabilities. This increases together with a carryover from last year, as well as promotional adjustments and other activities, will yield approximately 4% on average for the year. This is the base case. We'll be closely monitoring the exchange rate, as well as competitive dynamics, and will adjust as necessary. On the other hand, supported by KCM's continuous, active, and aggressive cost reduction culture, we expect to have savings for the year ranging from MXN 1.8 billion to MXN 2 billion. We are well on our way to identifying and implementing the different projects that will allow us to reach this target, and are very confident we'll achieve record savings for the year. To give you some idea, let me briefly comment on a couple of areas, manufacturing footprint optimization. As already mentioned, during the last quarter, we took a one-time charge related to the closure of a manufacturing facility, which we had originally purchased. We moved the equipment to consolidate production in other facilities. And by doing so and taking other steps to improve our efficiencies, we expect savings to exceed MXN 250 million annually. On the supply chain front, we expect savings of roughly MXN 400 million, driven by the optimization of where we buy, geographies and diversification; what we buy, cheaper and more efficient grades; and how we use raw materials. We see additional opportunities on the distribution front, and we'll seek to take advantage of the same to support service to our clients and streamline our distribution. With our actions, and notwithstanding the current exchange rate pressures, for the year, and let me stress that, for the year, we expect to again deliver an EBITDA margin that is within our target range. Further, as we speak with you today, we continue to project a medium-term base growth rate in the mid-single digits, consistent with our trajectory. Our average growth rate for the last three, five, 10-year periods has been 5.4%, 4.7%, and 6.8%, respectively. The base growth rate will be supported by our core categories and our strong and accelerated innovation pipeline. With respect to innovation, just this past quarter we launched significant improvements to the number one diaper brand in Mexico, Kleen-Bebé and in Kotex Unika, as well as new premium baby wipes and several new liquid soap and shampoo presentations, among others. For 2025, we will launch product improvements in every category in which we participate. And in the coming years, we will bring to market technologies and products that we have no doubt will increase consumer preference for our brands. Obviously, I can't be any more specific about it, but we're very excited with our plans. Now, in addition to such base growth rate, in the coming years, we expect to add a few hundred basis points by achieving double-digit growth rates and increasing the participation in total sales of categories with higher potential like wipes, kitchen towels, facial tissue, incontinence, wipers, and others, as well as through adjacencies or entries into new categories and geographies. We have plans in place to support the former. And in our April call, we'll be able to share with you exciting news of our expansion into an important category. When it comes to costs, as we've said many times, achieving efficiencies, reducing costs, and operating in an effective, lean, and brutal manner, are all part of our culture. For the years ahead, we have some important initiatives to continue to improve our productivity and cost structure. In summary, in the coming years, following consumer trends and needs, as well as customers' requirements, taking advantage of new and advanced technologies and productivity opportunities, KCM will accelerate its evolution to increase its growth target, and rate and strengthen its cost position and margins. Finally, at our February Board and Shareholders' Meetings, we will be proposing a high single-digit dividend increase and we will ramp up our stock buyback program in an important way. With that, let me open up the floor for questions.
Operator: [Operator Instructions] And we'll take our first question from Tiago Harduim with Citi. Your line is open.
Tiago Harduim : Hello, good morning, Pablo, Xavier. Thank you for taking my question. I wanted to discuss a bit the Consumer segment’s performance this quarter. We saw a very solid performance here, driven mainly on volumes, right? So I'm hoping we could discuss a bit here and help us understand what drove specifically this volume performance. And maybe if we could get a bit into how is competition looking like, price positioning, and there's always an interesting discussion towards private label, so whatever interesting piece of information you can give us would be very helpful. And looking again specifically to this segment, what could we expect for 2025, right? You guys already gave a pretty broad and fantastic overview of what you're seeing into 2025, but maybe specifically on Consumer segment and competition. Thank you very much.
Pablo González : Thanks for the question, Tiago, and I appreciate you being on the call. As you mentioned, we had good performance on the volume side on our Consumer Products business, growing 2.4% in the quarter versus last year, and a very significant improvement sequentially because volume was up 7.3% sequentially. We had mentioned that in the third quarter, during second and third quarter of last year, we had taken certain actions to reduce promotional activity, and volumes were impacted because of it, but we saw a very nice rebound during the fourth quarter that we expect to continue into 2025. And supporting this volume increases, of course, are very important innovations that we've introduced into the market in the second half of the year. And as I mentioned, we have a very strong plan for this year where we're going to be making improvements and new launches in every single category in which we participate, so we expect that to continue to support our volumes going forward. Now, when it comes to the market, I would say no big changes from what we've been mentioning. I mean, it’s always been -- there have always been very competitive categories, and with the market not growing as much as everyone would like, we're all doing our best, I guess, to innovate and try and gain some share. So we expect competition to continue as it always has in these categories. In terms of 2025, when it comes to private label also, nothing new there. As you know, there's been some push behind private label lately, not new. We've been through this before. I mean, private label has been a participant for many, many years, and it's certainly an important participant at this stage. But again, our plan is to out-innovate and out-execute every competitor out there, and we have very important plans to do so, and we'll be focused on executing them very efficiently to stay a step ahead.
Tiago Harduim : Fantastic. Thank you very much.
Operator: Thank you. We'll take our next question from Alejandro Fuchs with Itaú. Your line is open.
Alejandro Fuchs : Thank you very much. Hello, Pablo, Javier. Thank you for the space for questions. I want to ask very briefly two ones, and I appreciate a lot of the detailed color that you both provide on the call. The first one was on the comment, Pablo, about potentially entering new geographies. I thought this was very interesting. I wanted to pick your brain to see what made you decide to start looking at maybe organic growth and so on, and any category in specific that you are thinking has more potential. And the second one, maybe for Xavier, in terms of hedges, it's very interesting also to see the company hedging six months in advance. Do you think this should be something that we could expect maybe going forward as a new policy on the cost side for the company? Thank you.
Pablo González : Thanks, Alejandro. Thanks for your question. Look, as we mentioned in the call, our base growth rate has roughly been between 5% and 6% over the last 3, 5, and 10 years. And that's an average, of course. You've got some years that are a little higher than others. And we expect that base rate, again, on average through the years to continue to support our growth based on our core categories. But we've mentioned that we've been in a process of identifying, one, how we increase the growth rate of categories with higher potential within Mexico. I mentioned some of them. And they're growing at double digits. But as they continue to grow double digits year after year, they're starting to have a higher impact on total sales. And we expect that to continue as we go into the future. But we also have been discussing that we've been analyzing the possibility of entering new categories and entering new geographies with products. Not necessarily geographies where we don't currently participate, but geographies where we have a limited exposure. And given our now broader portfolio where we can start to bring to those markets more categories going forward. So we're working on both. One, some of our products that we currently sell in Mexico and that our partner doesn't participate, we're going to start expanding into new geographies. It's going to take some time for those sales to really have an impact on our overall sales but we believe the next three to four years, they'll have a greater impact. And we're already moving ahead aggressively with that. And then as we've also said, we have been analyzing getting into either adjacent categories or categories where we see great growth potential going forward. And we've been doing a strong, a detailed analysis on this. And there's a few categories where we're interested in participating. One where we're quite a bit more advanced than the others when it comes to having the commercial proposal ready to go ahead. And again, at this point, unfortunately, I can't describe which that is, because we're right in the midst of getting ready to launch. But I'm positive that by April, we'll be able to give you a very clear understanding of what category it is and why it is we're entering and what we expect to achieve going forward. So it’s, again, we have a strong base rate of growth. But we want to increase that as we move forward in the next three, four or five years, so that we have KCM with a higher potential of growth going forward. It's taking a little bit because again, we've been very, very cautious and we're analyzing every possibility with great detail. But we're starting to get there and see some news again in the coming quarter.
Xavier Cortés: Hello, Alejandro. On the FX hedges, remember that given the significant interest rate differential in pesos versus dollars, buying dollars forward is always very expensive. We're talking $0.10, $0.11 each month that you buy forward. So doing hedges on a longer term basis and on a more consistent basis, in our view, is something that doesn't pay off over the long term. We will continue looking at it opportunistically, as we've done in the past. But even when you do it opportunistically, it's always hard to get it right. So for the most part, the answer is no. But I don't want to say we will not look at it when, in moments like this, we expect volatility or when we think there's an opportunity.
Alejandro Fuchs : Understood. Super clear. Thank you, Pablo and Xavier. Have a good weekend.
Xavier Cortés: Thank you. And you too.
Operator: Thank you. We'll take our next question from Antonio Hernandez with Actinver. Your line is open.
Antonio Hernandez: Hi, good morning. Thanks for taking my question. Just a quick one on the previous answer that you provided on regarding expanding to new categories or maybe adjacent categories and geographies. I just wanted to get a sense if there's anything that would be out of range. Anything that maybe, you know, right now you can apply much like, but at least is there anything that you want to be maybe exploring just to rule out some possibilities? Thanks.
Pablo González : Thanks for the question, Antonio. I'm not sure exactly what you mean by out of range. But let me just tell you that, I mean, categories in which we are currently thinking of expanding, of course, are supported by our knowledge of the consumer, our relationships with the trade, and our technological capabilities. Those are key factors for us to consider entering a new category. And, of course, we're looking at categories that have a high growth potential or are currently growing or have a high growth potential where we can come in and add value. If we can do all of those things, then we consider them. Otherwise, they're off the table. So, that's probably what I can say so far about our process. And, again, you'll get to hear more next quarter.
Antonio Hernandez: Okay. Thanks and just a quick follow-up. I'm looking forward on upcoming news. Just a quick follow-up regarding the Away from Home segment, any more color that you could provide on that? Thanks.
Pablo González : Yeah, that's a great question, because it was a little slower in the fourth quarter. Again, we were stable because volume was up, which was nice. The price and mix was slightly down. And when you take a look at it sequentially, volume was up 6%. So, nice volume uptick, but there was a little bit of pricing mix that was lower than last year. And that really had to do more with mix than pricing because a specific couple of categories where we got a little bit more aggressive to make sure a product was out there and our share was sustained. We put more product of those categories, particularly napkins, into the market, and that affected our mix a little bit. But more on a overall perspective on the business, we believe it's a business that will perform well going forward as we see a couple of things happening. One, when we talk to hotel chains, when we talk to restaurants, when we talk to what we call HoReCa, I mean, business is going well. The occupation of hotels is strong, and they expect it to stay strong for the coming year, and certainly to 2026, given the World Cup and some of the things that might be happening. Restaurants, I mean, you can attest for yourself that we see them packed and people going out and going out to entertainment venues. So, that's on the one hand, we see that side of the business strong. And on the other hand, we also expect more and more people to continue to return to the offices as more companies start to require them to come back to the office more days. And that will also be a benefit for the professional business. So, overall healthy fundamentals for the business going forward. So, we expect the business to perform well in the coming year and ahead of that.
Antonio Hernandez: Perfect. Thanks again for the call, and have a great day.
Pablo González : Thank you, Antonio. You too.
Operator: Thank you. We'll take our next question from Bob Ford with Bank of America Merrill Lynch. Your line is open.
Bob Ford : Thank you so much, and congratulations on the quarter, Pablo. I think it's very impressive in the context of the FX inputs and lack of pricing that you're facing or did face. I was curious, how are you thinking about the role you're playing in the North American kind of supply chain [as you see], and the volatility created by tariffs? And how are you both approaching that as you kind of go forward? And then with respect to consumer value perceptions and you're fielding some phenomenal values at or below price or private label price points. What are the consumer perceptions of those value propositions like in those brand tiers? And what are you doing to kind of really strengthen those? Because you're holding on to market share phenomenally well. And I just want to better understand the tactics that you're employing. And I understand what Xavier is saying. It's incredibly expensive to hedge yourselves with PAX. What's the alternative like in physical? I know it's bulky, but I'm just kind of curious in terms of the potential for you to go a little bit longer in terms of some of the raw materials?
Pablo González : Thanks, Bob. Thanks for the question. One, let me just thank you again, because I do agree that the way we were able to offset the input pressures and the exchange rate, I mean, kudos to the team. I think they did a great job. And it's being able to maintain our margins where they stand. Given the context, I think we were happy with the result. And we know we've got a tough challenge this year, particularly in the first half, given the exchange rate comparison. I mean, it'll most likely be during the first half 20% higher than last year. So it will be even tougher this year. But again, for the year, we do expect to continue to deliver the margins based on what we do very well, which is making sure we take advantage of every price and mix opportunity and reducing our costs as much as possible. And as I mentioned, we see some great, great opportunities, not only this year, but going forward to increase productivity and reduce costs. So we're very excited about that. But I agree. I think that the team did a great job. When it comes to supply chain and North America, as we've talked about, Bob, we continue to look at that very, very closely. Our partner is going through a reorganization and they're taking a look at the whole footprint. And we are working very, very closely with them. This year, we're going to be supplying quite a bit of product to them and very interesting new products that we've qualified with them as they see the need for additional capacity given their sales or just opportunities in terms of cost, quality or different kind of products. So we're right in there with them and we'll continue to look for opportunities to think of North America supply chain as a whole versus just part of it. And we expect some very good things to come out of that in the coming years. But it's work-in-progress and it's continuous. When it comes to the tiers, yeah, we’ve -- you know, we have this multi-tier, multi-brand and multi-channel strategy that has always served us well versus our competitors and certainly versus private label. So in every category, we've got pricing that is equivalent to private label, but then we have products over private label or under private label. And the key thing, as I mentioned, has always been to innovation. I mean, just making sure we can offer the best performing product at the right cost in every tier. And easier said than done, but we've done this very well in the past and we're very excited with what we see going forward in terms of technologies and what we can bring to the market and how we can trickle down innovations from the premium tiers down to the value and even the economy tiers. I mean, when you take a look at our economy tiers, they're very, very good products. Some of them even better than some value or even premium tier products in other parts of the world. And that will continue to be our tactic. I mean, if we want to continue to win in this very competitive market, we need to out-innovate everyone and not just do it in one tier or one category. We need to do it in all categories, in all tiers. And we're working very aggressively on that and again with very good plans. And that's the way to go. We'll just continue to innovate very, very aggressively and hope to stay one step ahead.
Xavier Cortés: On the increasing inventory to hedge, we've done it sometimes, but as you said, it's bulky and we have to take care of our working capital. What I'd probably say, and I should have said that on my answer to Alejandro, is that we have to remember that we have a natural hedge, which is that everyone that competes against us is facing a very similar cost structure and a very similar exposure to the FX. So in case of a significant movement in the peso versus dollar parity, we would probably need to move faster in prices and chances are that the competition would need to do that as well because not only they're having the same cost structure, but also they're starting with much lower margins. So --
Bob Ford : And so they’re theoretically under a lot more pressure than you are. I understand that. But thank you so much for the answers. Very encouraging, and again, congratulations for, I think, a great performance in a very adverse circumstance.
Pablo González : Thank you, Bob. Really appreciate it.
Operator: Thank you. We'll take our next question from Joseph Giordano with JP Morgan. Your line is open.
Joseph Giordano: Good morning, everyone. Hi, Pablo, Xavier, thanks for taking my question. Actually, those are two simple questions. So the first one goes into this category and geography diversification. So the company historically focused mostly on organic growth, like very small M&A’s back in the day. So my question to you here is if this particular geographic diversification includes any potential M&A plans here, particularly to accelerate this process? The second one goes with the cash back story to the shareholders, right? So most investors invest at the company to get the dividends and the share buybacks. So you already mentioned that the idea is to propose a dividend growth over the high single digit territory. And so here, like on the buyback side, the wording was material acceleration. So here, I would like to understand if its material acceleration, it could be like double digit growth or probably like doubling the activity here. But those are my two questions. Thank you very much.
Pablo González : Thank you, Joseph. Yeah, again, and very quickly on the geography and categories, nothing we can share at this point when it comes to M&A. Again, we're looking at the different opportunities, but at this point, nothing that we can announce when it comes to M&A.
Xavier Cortés: But we do our analyzing opportunities in M&A. And in terms of the buybacks, remember that buybacks and dividends have to come out of retained earnings. So it's going to be a balance depending on how much we increase the dividend, how much we have left for buybacks. It's definitely going to be a double digit increase versus previous year and a significant double digit. It's not double. I don't think we have enough retained earnings for doubling it. But again, it's going to be very significant.
Joseph Giordano: Perfect. Thank you very much.
Pablo González : Thank you.
Xavier Cortés: Welcome.
Operator: We'll take our next question from Juan Guzman with Scotiabank. Your line is open.
Juan Guzman: Hello, good morning, Pablo, Javier, Salvador, and all the team there. Thanks for the space for questions and for the initial remarks. Everything was pretty clear, especially on the hedging front, which we see as a positive development in the current context. So quick one here, because most of the questions I had have already been answered. Should we expect some more of this restructuring expenses during 2025? I want to understand how are you thinking about that? And or do you think you have already invested what was needed to reorganize your logistics? And in general, what are you foreseeing in terms of SG&A expenses for this year?
Pablo González : When it comes to the restructuring expense, Juan, again, we continue to analyze all of the opportunities to optimize our footprint and our operations overall. And most likely towards the end of the year, we will see another restructuring expense because we see another great opportunity to add productivity, add capacity to innovate faster as we integrate further our operations. But it most likely be closer to the end of the year because it'll take us a while to get there. But again, the savings will be significant.
Xavier Cortés: In terms of the SG&A and the first one, in terms of the SG&A, I think that if you look at the numbers of our past quarters, excluding this onetime, we've been pretty consistent in terms of SG&A as a percentage of sales at around 17% in the low 17s. We should be around there. We have some opportunities, particularly on the distribution front, but those we're going to be able to untap during the next quarter. So, no significant changes there.
Juan Guzman: Excellent. That's pretty clear. Thank you very much.
Xavier Cortés: You're welcome.
Operator: Thank you. [Operator Instructions] We'll take our next question from Jorge Izquierdo with BTG Pactual.
Jorge Izquierdo: Hello, Pablo, Xavier. Good morning. Hope you are well. And thank you for the space for questions. My question is on Consumer Products. You mentioned topline was mainly driven by volume growth. And I was wondering if you could share more details by category performance. Any comments you could share would be helpful. And thank you very much.
Pablo González : Thanks for the question, Jorge. Yes, you mentioned Consumer Products and volume was strong. We don't disclose by category, again, given the competitive nature of our markets. But what I'll tell you is that in our core categories, we're seeing volume optic. And as I mentioned, there are certain categories with higher growth potential where we're seeing high single digit rates of growth in volume because you add a little bit of product. So, overall, volumes in the market are not as strong as we would like to be, but they're resilient. Volumes continue to grow and we're taking advantage of that.
Jorge Izquierdo: Very clear. Thank you very much.
Pablo González : Thank you, Jorge.
Operator: Thank you. We'll take our next question from Pallavi Nagia with HSBC Bank. Your line is open.
Pallavi Nagia : Hi, thank you for the call and congratulations on the results. Thank you for your note on expansion plans that you pointed out. Is there any CapEx guidance that you can give us for the year? And my next question is on, if you could provide us any color on your liability management plan. Thank you.
Xavier Cortés: Hello, Pallavi. CapEx should remain in the coming years in the $100 million to $120 million per year on average. That's what we have identified that we require for efficiencies, for product improvement, for process improvements, and for the capacity additions that we may need. The second one, I didn’t get.
Pablo González : When it comes to liability management plans, and I hope this will answer your question, but we have a very detailed list of risks that we see for the company currently and going forward and plans to address them and we share those with our audit committee and with the board. Again, we know what they are. We have very detailed plans and we're moving forward to make sure that we're okay in each and every one of them.
Pallavi Nagia : Thank you for that. Is there any plans to how you plan to address the maturity on the USD that's coming in March?
Xavier Cortés: Okay, yeah. Right now, unless we do some activity on M&A that requires some cash outlays, the way we're seeing it is that we will be paying off the maturity that we have this year with our cash position and with the generation for the year, and we're going to wait and see when we can refinance not only this year but hopefully some of the coming ones at better rates than what we have today.
Pallavi Nagia : Very clear. Thank you.
Xavier Cortés: Thank you.
Operator: Thank you. And it appears that we have no further questions at this time. I will now turn the program back over to Pablo Gonzalez for closing remarks.
Pablo González: Thank you, Shelby, and thanks everyone for attending the call. And again, our very, very best wishes for you and the families in 2025. Look forward to talking to you in April. Have a great year. Thank you.
Operator: That concludes today's teleconference. Thank you for your participation. You may now disconnect.